Operator: Good day, ladies and gentlemen. My name is Omar, and I will be your conference operator today. At this time, I would like to welcome everyone to the NXT Energy Solutions 2022 First Quarter Operating and Financial Results Conference Call. All participants will be in listen-only mode for the first part of the conference call with the ability to ask questions after the presentation by the company. [Operator Instructions] I would now like to turn the meeting over to Mr. George Liszicasz, President and CEO of NXT Energy Solutions. Please go ahead, Mr. Liszicasz.
George Liszicasz: Thank you very much, Omar. Welcome, and thank you for – thank you, everyone, for joining us for NXT Energy Solutions' 2022 first quarter financial and operating results conference call. This is George Liszicasz. And joining me on today's conference call is Eugene Woychyshyn, Vice President of Finance and Chief Financial Officer; Dr. Xiang Gui, Director of Research and Development; Enrique Hung, Director of Geosciences for the Americas; Mohammad Saqib, Head of Interpretation and Project Engineer. And Rashid Tippu, our Director of Geosciences for Africa, Asia and Middle East is traveling for business. The purpose of today's call is to briefly discuss the highlights of the release of NXT's 2022 first quarter financial and operating results. The following update will be open. Following our update, we will open up for lines – the lines for questions. Please note, all statements made by the company and management during this call are subject to reader's advisory regarding forward-looking information and non-GAAP measures set forth in our Q1 2022 press release and MD&A issued May 12, 2022. All dollar amounts discussed in today's conference call are in Canadian dollars unless otherwise stated. The complete financial and operating results and consolidated financial statements for the 2022 first quarter will be published – were published already on May 12 and are available on NXT's website, SEDAR's website and soon will be available on EDGAR's website. Now over to Eugene for the financial review.
Eugene Woychyshyn: Thank you, George. As George mentioned, our 2022 first quarter financial statements, management discussion and analysis were filed on SEDAR's website on May 12 and will shortly be available on EDGAR. From a financial perspective, the focus remained on supporting the execution of business development efforts and continuing to control and optimize costs. Our financial results were as follows. Cash and short-term investments were $1.87 million at March 31, and net working capital was $1.35 million. Accounts receivable payments of approximately $247,000 received during the first quarter. $154,000 in April of 2022 were also received and a further $390,000 is anticipated to be received in May. Operating activity used approximately $913,000 of cash during the quarter. There was no revenue for the quarter. For the quarter, NXT recorded a net loss of approximately $1.84 million, or $0.03 per share, based on 65.3 million weighted average common shares outstanding. This compares to a net loss of $1.65 million in the first quarter of 2021 or $0.03 per share. Total operating expenses for the first quarter were $1.79 million, including survey costs. This included non-cash expenses of $0.5 million related to amortization and stock-based compensation expenses. General and administrative expenses increased approximately $12,000 or 1% in the first quarter of 2022 compared to 2021 for the following reasons. Salaries, benefits and consulting charges decreased $15,000 or 3% due to lower vacation expenses and consultant fees. Board and professional fees and public company costs decreased $11,000 or 6%, premises administrative overhead costs increased $10,000 or 5% as building costs increased mostly due to higher carbon taxes. Business development costs were minimal in both comparative quarters as business development travel was reduced and stock-based compensation expenses were higher in Q1 2022 versus Q1 2021 by $40,000 due to higher accrued expenses with the RSU plan. To summarize some key financial points. We ended the quarter with $1.87 million of cash and short-term investments on hand, net working capital balance of $1.35 million and we received approximately $400,000 of outstanding accounts receivables so far this year with another approximately $390,000 expected to be received shortly. Our main focus continues to be on the execution of NXT's commercial opportunities. I would now like to hand the call back over to George to further discuss our business update and forward plans.
George Liszicasz: Thanks, Eugene. First, I want to convey my sincere hope that everyone is well and continues to stay healthy at this time. Our last conference call, which was just six weeks ago, our last conference call was six weeks ago, but we are pleased to provide further updates today. As Eugene mentioned, although there were no survey revenues in Q1, I believe this company will be generating significant revenue given the benefits of our technology offers, the industry and new opportunities that exist in the marketplace today. That said the quarter remained a very productive period for the company on multiple fronts. On the hydrocarbon business development side, commodity prices are expected to remain resilient as global economic activity continues to rebound. Consequently, we are witnessing an increased level in business and engagement with our customers. SFD survey opportunities continue to progress well, not only within our core areas of focus in Africa, Asia and South America, but in the Middle East as well. Our objective has always been to create a sustainable revenue flow. Given the current state of contract opportunities, we are highly confident that our collective efforts will soon materialize and the company will establish a steady cash flow. To that end, NXT remains focused on contract execution. The company is working on multiple opportunities in Asia. Since our last call, I am pleased to report that three of these opportunities have advanced from technical to the commercial feasibility stage. Regarding Africa business development, NXT is in the final stages of securing contracts. As we speak, we are preparing for the 2022 SFD survey and working on 2023 and 2024 projects. Naturally, the African continent remains our major priority, and we are advancing our business with the NOCs and other international explorers. Middle East business development. We have made significant progress in the Middle East in recent months. As you may remember, we have invested substantial time and effort over the years in Middle East opportunities. The company is finally in the position to capitalize on its investment. We will provide further updates as we're updated. Continuing with geothermal development update, there's no change in our geothermal programs. Just to recap, the company successfully completed Phase I of the SFD-GT sensor development program and is currently preparing a Phase II submission for NRC IRAP consideration. We believe that our effort in pursuing SFD-GT survey opportunities will be fruitful both domestically and abroad. Turning our attention to Latin America project. We can report on an increased interest in our existing data for sale and continued progress on new contract opportunities with new and also existing clients or repeat clients. We are optimistic the current negotiations are a step to new and repeat business in Latin America. In summary, SFD hydrocarbon and geothermal survey opportunities continue to progress. Additionally, we made advancement with our SFD-GT technology and continue to be in discussions with multiple geothermal companies for its services. As always, thank you for your continuing support of NXT. On behalf of our Board of Directors and the entire NXT team, I want to thank all of our shareholders for their continued support. We wish the best of health to you and your families. I now ask the operator, Omar, to open the line for us and take a few of your questions. Thank you. Omar?
Operator: Thank you. We will now take questions from the telephone lines. [Operator Instructions] Thank you very much. The first question is from [indiscernible] Collective Asset Management. Please go ahead.
Unidentified Analyst: On the center development, I assume, I think, was financed by the NRC out of Ottawa. Can you talk about the dollar value of what you received, the kind of progress? And then what Phase II involves as far as both dollar value and time and what you hope to achieve, whether you're able to convince them to fund around number two?
George Liszicasz: So, yes, thank you, Bob, for your questions. You are talking about the SFD-GT or geothermal projects, right?
Unidentified Analyst: Yes.
George Liszicasz: The second phase that basically is the continuation of the first phase is developing the prototype so that we can test it not only in the land-based vehicle, but also in flight as well. And we are planning to do that before we are going to execute the first survey, oil and gas survey program. So the second part of it is that we have been talking to our consultants. And we have received excellent response from them. They would like to continue the future – finance the future development. We are – we don't know the exact number yet and we will let you know as soon as possible. However, we were also informed by them that we would like to bring some experts to NXT to see if we can accelerate the project development and with the infusion of a significant amount of capital, which would basically involve the creation of a subdivision in NXT exclusively dealing with the geothermal activities and clients.
Unidentified Analyst: Thank you.
Operator: Thank you. The next question is from Michael Mork, Mork Capital Management. Please go ahead.
Michael Mork: Hi, George and Eugene, et cetera. Oil had a new multi-year high today, $114. Just wondering if – what your marketing game plan is, so people know that you're out there just that my guess is a lot of oil and gas companies are increasing their exploration budgets right now. And just what are you doing? Are you going to any conferences to show these people what you have and how it can expedite their oil and gas exploration processes?
George Liszicasz: Thank you, Mike, for your question. Right now, what is happening at NXT, we probably did about 20 presentations in the first quarter at the request of various national companies and international companies as well. We are planning right now to decide doing the survey, the first survey. We are planning to be in the Middle East and talk to seven different parties, including the entire country, so national companies and independents. And then go to Asia and also have a couple of companies there that requested face-to-face meeting. Now every one of these meetings were preceded by a presentation, a technical acceptance. And now we are going there to discuss the commercial liability or the commercial aspects of the contracts. So I think that we are on the right path right now. We are being sought very extensively in Africa and Middle East and Asia as well and South America. We received recently, as I mentioned, some good news, parties, five companies that are interested in our existing data for sale. So I think that just to speak to the fact that you mentioned that the oil prices are more stable, sustained and it will be sustained like this at least for a year. And companies are recognizing that this is the time to maybe produce more oil and increase their exploration budgets. So I hope that answers your question.
Michael Mork: Yes, it did. That's very good. You guys are busy and that's good. Thank you.
George Liszicasz: Very busy actually.
Operator: Thank you. [Operator Instructions] And the next question is from Tucker Andersen, Above All Advisors. Please go ahead.
Tucker Andersen: Hello, George. 
George Liszicasz: Hi, Tucker. How are you?
Tucker Andersen: Fine and I hope that you and your family have also good health as you wish to all of us in these trouble times. Sort of my question follows up on the last one. And that is this is clearly a new environment, which should be beneficial to you, not just because of the price of oil per se, but because basically, that the fact that the Russian lockdowns, which I think they're going to have to do soon because their storage is full and their pipelines are full and their ability to sell oil is getting really restricted means that the whole logistics and supply chain have to be of concern to a lot of people that they maybe weren't – they were going to be drilling in new areas and stuff like that. And my question is sort of do you have enough on your plate that you think is going to come to fruition? Or when you sign these contracts, can you get some upfront payments? Because the thing I'm worried about is – and we're a much more difficult market, as you know, for companies that are losing money to raise capital. And you need – you continue to need some measure of working capital. And what are you sort of looking at as your financing plans and the likelihood that, as I say, you get some upfront payments or things like that to tie you over until these contracts really come online.
George Liszicasz: Thank you very much for your question, Tucker. And it's a very relevant question, of course. The largest – the two largest opportunities actually three is connected with – the first one is connected with a standard payment schedule, whereby we receive upfront payments. The second one is one of the largest NOCs. That is a 45 days payment schedule. And the third one, which is the largest oil and gas company on the planet, we do not know yet. So we have not – we have gone through presentations and so on. But we do not – I cannot answer that question. But I – my feeling is – personal feeling is that given the opportunities that we have, very shortly we are going to be up in the air and we are going to be able to manage until more and more revenues are received. That's just my personal opinion.
Tucker Andersen: Well, good luck. But I do think that at this point, as I say, managing cash becomes much more crucial just because of the market and financial environment we're in. And good luck and I hope you get to eat a lot of those meals that are on your plate.
George Liszicasz: That's the idea. This is the time for contracts for sure.
Tucker Andersen: Thanks, George.
George Liszicasz: Thank you very much Tucker.
Operator: Thank you. The next question is from [indiscernible] Collective Asset Management. Please go ahead.
Unidentified Analyst: Hi. Just to follow up on the piece of the standard terms with upfront payment to put into context with the upfront payment typically be one quarter of the dollar amount or a third? What would be typical for your contracts?
George Liszicasz: Maybe Eugene, you can speak to that.
Eugene Woychyshyn: Okay. So, historically, we've – before wheels are up, we leave the ground, we, in essence, get [indiscernible] fee, which covers our cost to fly to the location as well as to come back. And then once we start the survey, ideally before we start to survey what we're in the country is we're asking for -- and have received significant payment that's in the 20% to 30% range for the first part of the survey, which effectively covers our costs or flying those surveys in that location.
Unidentified Analyst: Good. Thank you.
George Liszicasz: And the rest is gravy.
Operator: Thank you. [Operator Instructions] The next question is from a participant. Please state your name and your company name and please proceed.
Unidentified Analyst: I'm speaking on behalf of David Adelman [ph] as he's lost his voice right now. The question that he'd like to ask and apologies if this was asked earlier is when will we be in the air in Nigeria?
George Liszicasz: Well, it's specifically, I can't answer that question, but shortly it will be a better answer. And there is an opportunity potentially that we're not going to be – going directly to Nigeria, but off-route to another country, where very large NOC wants to conduct surveys. So – but the – I'm hoping -- I don't know, correct me if I'm wrong or something like that or I shouldn't say something, Eugene. But I would hope that NXT will be surveying in July.
Unidentified Analyst: Thank you.
George Liszicasz: Thank you.
Operator: Thank you. There are no further questions registered at this time. I would now like to turn the meeting back to Mr. George Liszicasz. Please go ahead.
George Liszicasz: I would like to mention that I wish David recovery, the person who spoke on his behalf and our love to him. And thank you for all of you to participate in our conference call. Thank you so much.
Operator: Thank you. The conference has now ended. Please disconnect your lines at this time and thank you all for your participation.